Operator: Thank you for standing by. My name is Tina and I will be your conference operator today. At this time, I would like to welcome everyone to the Direct Digital Holdings First Quarter 2025 Earnings Call. [Operator Instructions] Thank you. I would now like to turn the call over to Jennifer Belodeau, IMS Investor Relations. Please go ahead.
Jennifer Belodeau: Good afternoon, everyone and welcome to Direct Digital Holdings’ first quarter 2025 earnings conference call. On today’s call are Direct Digital Holdings’ Chairman and Chief Executive Officer, Mark Walker and Chief Financial Officer, Diana Diaz. Information discussed today is qualified in its entirety with the Form 8-K and accompanying earnings release, which has been filed today by Direct Digital Holdings, which maybe accessed at the SEC’s website and the company’s website. Today’s call is also being webcast, and a replay will be posted to DRCT’s Investor Relations website. Immediately following the speaker’s presentation, there will be a question-and-answer session. Please note that the statements made during the call, including financial projections or other statements that are not historical in nature, may constitute forward-looking statements. These statements are made on the basis of DRCT’s views and assumptions regarding future events and business performance at the time they are made and we do not undertake any obligation to update these statements. Forward-looking statements are subject to risks, which could cause DRCT’s actual results to differ from its historical results and forecasts, including those risks set forth in DRCT’s filings with the SEC and you should refer to those for more information. This cautionary statement applies to all forward-looking statements made during this call. During this call, DRCT will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. Reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in the earnings release that DRCT filed in its Form 8-K today. Now I’ll hand over the conference call to Mark Walker, Chief Executive Officer. Please go ahead, Mark.
Mark Walker: Thanks, Jen and thank you to everyone joining our call this evening. I’ll start by reviewing some of the highlights of our operations and financial results during the first quarter before turning the call over to our Chief Financial Officer, Diana Diaz, for a more detailed look at our financial results. We’ll conclude by opening the call for a brief Q&A. As we begin to move through 2025, our focus is on scaling our buy-side solution and rebuilding our sell-side business to drive consolidated revenue growth throughout the fiscal year. In the first quarter, we recognized consolidated revenue of $8.2 million, including $6.1 million in revenue from our buy-side segment, a 6% increase compared to buy-side revenue in the first quarter of 2024. The increase included growth from customers in new verticals of $1.2 million. Sequentially, our first quarter sell-side revenue of $2 million was relatively consistent with fourth quarter sell-side revenue of $2.7 million, demonstrating an encouraging trend given that our fourth quarter is typically the strongest driven by increased activity around the holidays and our fourth quarter 2024 included $700,000 of political spend. So, we are pleased with the performance of our sell-side segment in Q1 and continue to focus our efforts on scaling this segment to drive consolidated revenue growth. In the first quarter of 2025, we continue to see the impact of the disruption of our sell-side business during the previous year resulting from multiple short attacks. As many of you are already aware, a market discredited blog post against our supply-side platform, Colossus SSP in mid-May of 2024 caused an unexpected business disruption amongst our partners, advertisers, and clients. As we continue to repair the business and reconstitute our relationships, volumes have not yet returned to pre-pause levels, and this caused a meaningful reduction in our 2024 revenues and also impacted the first quarter of 2025. We have been working diligently with our multinational HOCO agency partners, our Fortune 500 brand partners, and demand-side partners to resume or increase activity once direct connections are fully integrated in the second half of 2025. And we are pleased by their ongoing commitment to Direct Digital as we build our business back to previous levels. Our focus in 2025 is on driving growth and value for our shareholders. We’ve launched several initiatives to drive our progress, including revenue optimization efforts to diversify our revenue base and cost-saving initiatives to drive reductions in operating expenses and enhance operational efficiency. In the first quarter of 2025, we reduced operating expenses by nearly $1.5 million, or approximately 19% when compared to the first quarter of 2024. We continue to evaluate the optimal personnel and cost structure for our business. At the business unit level, the unification of our two buy-side platforms into Orange 142 has allowed us to better service small to mid-sized clients who represent a significant growth opportunity for our business. Small and mid-sized clients are increasingly shifting their advertising dollars to focus more on digital advertising. By intentionally focusing on this segment of the market, Direct Digital can provide the support these clients need to help navigate the complexities of digital advertising and optimize their return on ad spend and emerging technologies and high-growth channels, including AI, connected TV, retail media, and more. As we mentioned last quarter, we brought on several clients across some of these new verticals, which are expected to generate additional incremental revenue in the range of $5 million to $10 million in 2025. We expect to see the impact of these new clients continuing into second quarter 2025 revenues. On the sell-side, we launched Colossus Connection in the third quarter of 2024 to accelerate direct integration efforts with leading demand-side platforms. We established this offering to optimize supply path efficiency for our advertising clients through direct connections with top demand side platforms, which ultimately provides advertisers with improved access to demand and cost savings. And we are seeing some encouraging early results. As we stated previously, we have already signed up two of the leading marketplace partners in this segment. We have also recently added several mid-tier DSP partners who are near completion with integration. We are also pursuing alternative intermediaries and pathways to send buyer spend to our publishers. We expect to see the impact of these new partners on our revenues once integration has been completed in the second half of 2025. In addition to our revenue diversification strategy, we’ve implemented cost-saving initiatives across our business with the goal of reducing some of our ongoing expenses and enhancing operational efficiency. In the first quarter of 2025, we reduced total operating expenses by 19% compared to the prior year period. Diana will elaborate on this in her prepared remarks, but at a high level, we’ve taken a close look at our cost structure and expenses and we are strategically reallocating capital to invest in the long-term growth of our business. From a liquidity perspective, we continue to selectively pursue strategic financing. We are optimistic about our prospects for securing the necessary capital to support the growth of our business. We are encouraged by our progress in the quarter and excited about what’s ahead for Direct Digital in 2025. We faced significant challenges in 2024 and there is still a great deal of work to be done as we continue to recalibrate and rebuild our business. That being said, we believe that we are well-positioned with the revitalized model, prudent cost management strategies, and strong demand for our products and services. With our visibility today, we maintain our revenue guidance of $90 million to $110 million for full year 2025, supported by growth in both our buy-side and sell-side segments. And we look forward to driving enhanced value for our shareholders as we move through the balance of 2025. As we mentioned in our 2024 year-end earnings call, in particular, we expect the second half of 2025 to deliver strong gains as we experience the full effect of new direct sell-side partners coming online. I will now hand things over to Diana Diaz, our Chief Financial Officer, who will walk through some of the financial highlights in further detail.
Diana Diaz: Thank you, Mark and good evening everyone. I will now provide a review of our first quarter 2025 results. Consolidated revenue in the first quarter of 2025 was $8.2 million, a decrease of $14.1 million compared with revenue of $22.3 million in the first quarter of 2024. Sell-side revenue was $2 million in the first quarter compared with $16.5 million in the first quarter of 2024. A decrease in sell-side advertising revenue was primarily related to a decrease in impression inventory when compared to the first quarter of 2024. As Mark said, a market discredited blog post against our supply-side platform, Colossus SSP, in mid-May 2024 caused an unexpected business disruption amongst our partners, advertisers, and clients. As we continue to repair the business and reconstitute our relationships, volumes have not yet returned to pre-pause levels, and this caused a meaningful reduction in our fiscal year 2024 revenues and also impacted the first quarter of 2025. Buy-side revenue of $6.1 million increased approximately 6% compared with the first quarter of 2024, primarily driven by a $1.2 million increase in spending from customers in new verticals. Gross profit dollars decreased to $2.4 million in the first quarter compared with $5 million in the prior year period. Due to the shift in revenue mix that includes a larger portion of higher margin buy-side revenue, gross margin for the first quarter of 2025 increased to 29% compared with 22% in the first quarter of 2024. Moving now to operating expenses, our first quarter 2025 operating expenses were $6.3 million, a decrease of 19% or $1.5 million compared with $7.8 million in the same period of 2024. This reduction in operating expenses was primarily related to lower payroll costs and staff reductions made effective July 1, 2024, as part of our internal reorganization strategy and cost saving measures to reduce certain ongoing costs. Total operating loss for the first quarter was $3.9 million compared to a loss of $2.8 million in the same period of last year. Net loss in the first quarter was $5.9 million or a loss per share of $0.35 compared to a net loss of $3.8 million or a loss $0.22 per share in the first quarter of 2024. Adjusted EBITDA for the first quarter was a loss of $3 million compared to an adjusted EBITDA loss of $1.7 million in the same period of 2024. Turning to the balance sheet, we ended the year with cash and cash equivalents of $1.8 million compared to $1.4 million as of December 31, 2024. Total cash plus our accounts receivable balance as of the quarter end was $6.2 million compared to $6.4 million at year end 2024. We are actively advancing multiple funding and equity financing pathways with the goal that these efforts will restore Nasdaq compliance, strengthen the company’s financial position, and support key growth initiatives. Based on our current visibility, we are maintaining our full-year revenue guidance of $90 million to $110 million based on the expectation of consolidated revenue growth driven by enhanced buy-side activity and the ongoing recovery of our sell-side segment. And as Mark said, we expect the second half of the year to deliver strong gains as we experience the full effect of new direct sell-side partners coming online. Our guidance assumes that the U.S. economy does not have any major economic conditions to deteriorate or otherwise significantly reduce advertiser demand. We plan to offer annual guidance and update it throughout the year. I would like to turn it back over to Mark for some closing comments.
Mark Walker: Thank you, Diana, and thank you to everyone for joining. As always, we appreciate your interest in Direct Digital Holdings and are looking forward to answering your questions. Operator, please open the line.
Operator: [Operator Instructions] And your first question comes from the line of Michael Kupinski with Noble Capital Markets. Please go ahead.
Michael Kupinski: Thank you and thanks for taking my questions. I was wondering in terms of the sell-side customer that cut back last year, I was just wondering if you can give us a sense of maybe in talking to that customer what they might build back in terms of the business and maybe as a percent of 2024 spending levels, if you have any insight there. And then based on the revenue guide that you are giving for the full year, can you kind of give us a sense of what percent of revenues will be derived from the buy-side versus the sell-side?
Mark Walker: Yes. Now, I appreciate the question, Michael. In regards to the customer from last year, what we are focusing on is to all direct – is to really go for a strategy of direct connections. So, what we believe in the most cost-efficient way for us to continue to grow the sell-side of our business is through direct relationships with different DSP partners that we actually have in the marketplace. And so what we have been working diligently on is making those direct connections with those partners. What we believe the overall impact of that direct connections will be and the strategy we have with Colossus Connections is really focused in on driving additional top line revenue dollars, increasing our margin profile as it relates to the SSP business, because it’s direct instead of working through multiple intermediaries. And then we also think that our clients and customers, we could see an increase in demand in the future state as it relates to the second half of the year. So, that’s why we maintain a bullish outlook for Q3 and Q4 as we believe some of those direct relationships will be coming online. And then as it relates to your second question that you asked as it relates to the split between buy-side, sell-side, as you know, we have been working diligently on growing the buy-side of our business. We anticipate and what we have projected out is for that to be at the $40 million range and then for the sell-side of the business to be north of that number in order to close out the 90 to 110 range.
Michael Kupinski: Thank you for that color. And just as a quick follow-up, in terms of your cost-cutting initiatives, you mentioned about the payroll cost, and I would assume that most of that would be variable. Do you anticipate that kind of give us a sense of maybe the extra efforts that I think you are continuing to look at cost efficiencies and so forth? Is there a dollar amount that you plan to save this year? And are those mostly coming from variable cost reductions, or can you just kind of give us some color on those efficiencies, and when do you expect that you will continue to see those realized?
Mark Walker: Yes. I am going to turn that over to Diana and answer that question.
Diana Diaz: Sure. Michael, we actually saw those cost reductions in the current quarter. Our operating expenses were down 19%, and those costs are fixed costs. There are staff that’s on hand, working every day, and we did cut our staff 20% back on July 1st. We saw savings in the second half of last year, and we continue to see those into the first quarter, and those will be ongoing, so not variable.
Michael Kupinski: Got it. I appreciate that. That’s all I have. Thank you very much, and good luck to you guys.
Diana Diaz: Thank you.
Mark Walker: Thank you, Michael.
Operator: [Operator Instructions] And our next question comes from the line of Daniel Kurnos with Benchmark. Please go ahead.
Daniel Kurnos: Yes. Great. Thanks. Just real quick, Mark, just how quickly are these integrations going to ramp with DSPs? And do you have any thoughts on sort of the broader marketplace given kind of the carnage in the Google space?
Mark Walker: Thanks. Yes, absolutely. Yes, I think with the cookie deprecation on-again, off-again relationship, I think for the foreseeable future, I don’t think cookies are going to go anywhere. I do think alternative IDs are still going to have an impact in the marketplace. And I think we are already seeing other partners actually leveraging some of those third-party cookies that are actually out there. So, I think those are going to be a permanent part of the overall infrastructure. With regards to the breaking up of Google, if you will, between their ad tech business and all the rest of their businesses, I think it’s, we are in a wait-and-see mode on that. I think there is a lot of moving pieces as it relates to the judicial process that they are going through. So, for us, we are treating it as business as usual, and we will wait until we see definitive action from the judicial on how we are going to respond and deal with that accordingly. In regards to the ramp up of the integrations, each integration partner is different. Some move faster than others. Some have a little bit of legacy code that they are working through. So, those are going to be variable in time. And so what we are anticipating is we will see the impact of that come Q3 and Q4 of this year.
Operator: There are no further questions at this time. I will now turn the call back over to management for closing remarks.
Mark Walker: With that stated, we thank you for your continued support of Direct Digital Holdings and that concludes our Q1 2025 call. So, thank you very much and we look forward to seeing you next quarter.
Operator: Ladies and gentlemen, that concludes today’s call. Thank you all for joining and you may now disconnect.